Operator: Good afternoon, ladies and gentlemen. Welcome to the Heritage Global Inc. Third Quarter 2024 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, November 7, 2024. I would now like to turn the conference over to John Nesbett, IMS Investor Relations. Please go ahead.
John Nesbett : Thank you, and good afternoon, everyone. Before we begin, I'd like to remind everyone that this conference call contains forward-looking statements based on our current expectations and projections about future events and are subject to change based on various important factors. In light of these risks, uncertainties and assumptions, you should not place undue reliance on these forward-looking statements, which speak only as of the date of this call. For more details on factors that could affect these expectations, please see our filings with the Securities and Exchange Commission. Now I'd like to turn the call over to Heritage Global's Chief Executive Officer, Mr. Ross Dove Please go ahead, Ross.
Ross Dove: Thank you very much, John. Thank you all for joining today, and welcome. When you look at $1.5 million in net operating profit and $2 million in EBITDA cash flow on the surface like today, it's just the blah, blah, okay, so what, quarter, and I get that for the quarter. But I really drill down and look at it across the board at each revenue stream at more than just a glance, yes, it is still just the blah, blah, okay, quarter. And that's okay because we're not a by-the-quarter company. As we continue to say, we're just not a quarter-over-quarter company, where a snapshot in time tells where we're going. What happened is industrial was very, very busy, but lacked any high dollar auction. However, the pipeline is steadily growing and larger transactions are right on the horizon. They take longer, but the sense is they are coming, and we feel lots of comfort in a baseline with absolutely the minimum in large transactions in 1 quarter and being able to stay profitable and accretive. Going forward, industrial M&A activity has really heated up to our front burner now. Activity all around this has heightened with transactions now closing and many possible prospects currently in play. We've now reached the make and offer stage on multiple fronts, and I'm comfortable something is going to get done in the very near future, at least within the next 12 months. And there are plenty of opportunities out there as the industry consolidates. Moving to the financial front. We're seeing more first-time clients now become sellers than really ever before, and we have a strong belief that consumer spending will remain at heightened levels for the foreseeable future, and it will be multiple years to work through the ongoing release of every month's new monthly charge-offs as defaults continue in credit cards as well as fintech products. NLEX's leadership in the industry will help us scale with these new prospects, and we're very comfortable that there will be growth because we are the most reliable vendor in a growing market. With that, I'll turn it over to Brian to give you the highlights of this quarter. Thank you all for sticking with us. We're very, very comfortable that the next 3 years, there's going to be enough supply for us to really turn it up a notch. Thank you. Go ahead, Brian.
Brian Cobb: Thank you, Ross. I'll begin by going over a few key developments before moving into our divisional and consolidated financial results. First, the company has made significant progress during the year in building the strength of our balance sheet. Our consistent profitability and our conservative position regarding the funding of loans within our Specialty Lending segment has led to improvements in our available cash and working capital balances. This enabled the company to fully pay down its term loan of approximately $5.7 million in July and subsequently repurchased roughly 600,000 shares in the open market during the third quarter. Further, on September 13, 2024, the company's Board of Directors approved an amendment to the repurchase program, increasing the maximum aggregate dollar amount of repurchases to $6 million through June of 2025. As of September 30, 2024, the company had approximately $4.1 million in remaining aggregate dollar value of shares that may be purchased under the program. Additionally, we have determined to move forward without making any significant structural changes in our Specialty Lending segment. We plan to conservatively manage the portfolio to gain a higher concentration of performing loans and to limit the company's potential exposure to lending risk. As we have previously mentioned, prices for charged-off and nonperforming loan portfolios have decreased from the highs during the pandemic, resulting in a more attractive market for our borrowers and a lower risk profile for investment. Last and most importantly, our available cash position and potential financing capabilities have positioned us well to invest strategically in our core auction and brokerage segments of the business. Turning to the financial results by division. Our Industrial Assets division reported total divisional operating income of $700,000 in the third quarter of 2024 as compared to $2.1 million in the prior year period. Our auction business achieved lower-than-expected operating income in the quarter, primarily due to the absence of the larger auctions we typically see. However, the number of projects executed and our ability to win contracts remains strong. The quarterly results in this division do not capture our solid business development efforts in the quarter, which included our selection to manage 2 prominent bankruptcy auctions and an auction project for a top-tier aerospace company that is slated to take place in 2025. As the current economic environment continues to pressure many organizations, we expect that continued facility closures and downsizing will keep our pipeline for auctions strong. Our Financial Assets division reported total divisional operating income of $1.8 million. Our brokerage business recorded operating income of $1.7 million as compared to $2.1 million in the third quarter of 2023. Our lending business performed consistently with expectations, recording operating income of roughly $200,000 after the recent change to nonaccrual status loans with our largest borrower and implementation of the cost recovery method of accounting. Despite the challenging economy, consumer spending has not slowed and consumer credit outstanding remains near all-time highs. As we expect charge-off volume to remain at elevated levels, we are focused on continuing to capture the opportunities presented by the current economic landscape to drive growth and continued profitability of our brokerage business. Now on to the consolidated financials. Consolidated operating income was $1.5 million in the third quarter of 2024 compared to $2.8 million in the third quarter of 2023. For the quarter, we reported adjusted EBITDA of $1.9 million compared to $3.1 million in the prior-year period. Net income was $1.1 million or $0.03 per diluted share compared to net income of $2 million or $0.05 per diluted share in the third quarter of 2023. Our balance sheet reflects stockholders' equity of $66.1 million as of September 30, 2024, up from $61.1 million at December 31, 2023, and net working capital of $16.2 million. And with that, I'll turn the call back over to Ross.
Ross Dove: Thank you, Brian. The really good news you can take here is we're growing our available capital at a time when there's opportunities across the board for us to deploy that capital. And we're looking very hard at all those opportunities, really analyzing capital allocation, and we feel comfortable we're in a strong position to take this company to new heights. Stay with us, and thank you all very much for joining the call.
Operator: [Operator Instructions] For our first question comes from Mark Argento of Lake Street.
Mark Argento: Ross and Brian, a couple of quick ones here. First, Brian, can you just review kind of the size of the lending book today? Did you guys deploy any more capital there? Any updates as well on kind of the status with your large borrower?
Brian Cobb: Yes. So we have approximately $31 million of the net balance related to the loan book, the Specialty Lending segment at September 30. That's a little over $3 million decline from our balance at 6/30. We've been cautiously looking at new loans originating very little during this quarter. But our plan to move forward is to work with our strengthened underwriting criteria and judiciously invest in loans that are accretive and are low risk. As I said earlier that the prices are lower this year than they were in the past couple of years. So we think it's a lower risk.
Mark Argento: Yes. And any update on the accrual status? It doesn't sound like much change there, but is the lender or the borrower making payments? Or what info can you provide us there?
Brian Cobb: Yes. So the borrower in question, our largest borrower, all the loans are in nonaccrual status. We're still working with that borrower. We're working to increase collections in the future by allowing certain legal collection methods. Us and our senior lenders to those loans are working closely with that borrower. No significant changes from last quarter.
Mark Argento: And is there any changes in any of the loan loss reserves or any other kind of accounting treatment that we should be aware of?
Brian Cobb: No, there's been no change to our credit loss reserve this quarter. And we still believe that, that's an appropriate reserve.
Mark Argento: Sure. Okay. Pivoting back to the industrial assets business, obviously, a disappointment. Is there anything going on structurally in terms of the activity levels in the industry? Or was it just kind of a lot of smaller stuff activity still there, but a lot of smaller stuff and the bigger stuff kind of got pushed into Q4?
Ross Dove: Yes. That was the same. It's actually not a heightened amount in our pipeline. So our pipeline rolling in looked really strong. And what happened is the percentage we signed was great. So it had nothing to do with our win rate. Our win rate was fine. It just seemed that all the larger transactions kind of got held up. I don't want to use the election as an excuse because I'm not smart enough to know if that's why or what was going on in the macro economy that just made me, of course, kind of slow down on the bigger transactions. But most of the bigger transactions and some of which we ultimately did sign rolled into Q4 and even into Q1. So it was just kind of sluggish on getting ink on the big transactions. It's not that we lost them, Mark, at all. It's just a lot of them just didn't come into fruition. So they're still out there. We're still going to win our share. And we're going to -- like I said, not quarter-over-quarter, we're going to have some bang up big quarters just like we had a slow quarter.
Mark Argento: Sounds good. And then just last one for me, and I'll hop back in the queue. But M&A, sounds like you guys have been talking of M&A a little bit more in the last few quarters. I haven't really pulled the trigger. Is it kind of a good read that you're going to reprioritize cash flows and maybe away from lending and focus more on M&A in the future? Or how should we take...
Ross Dove: There's been M&A all around us. The Great American Group, which was a part of B. Riley, sold recently to a large hedge fund. The 2 largest industrial manufacturing auctioneers in Europe have consolidated into 1 company. There are companies now that kind of are getting an inside look at that weren't really talking about selling in the past that now think it could be time for the industry to. I wouldn't say, have a massive roll-up, but it's definitely you're going to have larger auctioneers and some of the smaller ones combining over the next 2 or 3 years. And we think we're in a really strong place to be one of the leaders in that consolidation. So yes, if you're asking, are we -- we're not hoarding cash, but we've built up enough cash and enough credit that we're in there, and we're going to make a big fight to get the good ones on our team.
Operator: [Operator Instructions] Our next question comes from Michael Diana of Maxim Group.
Michael Diana: So on M&A, that sounds really exciting. When you talk about acquiring -- making an acquisition, are you talking about basically buying people, buying teams, buying whole companies with infrastructures and all that? What exactly would you think you'd be getting if you made a big acquisition?
Ross Dove: So there's two things that you can really look at when you kind of go to the whiteboard and say, how do we make acquisitions that move the needle that really can be growth-oriented, significant changes where 1 in 1 equals more than 1 in 1. And you come down to 2 significant areas, one, is geography, which is obvious. 90% of our auctions or 95% are in North America when 95% of all industrial auctions clearly are not in North America, but they're global. Just in Europe alone, there's reshoring coming back to North America. We think with the prospects of some government changes with the new election, reshoring may even grow more significantly. So, obviously, having feet on the street in other parts of the world would have significant ability for growth. We also have clients here that are multinational clients that more and more are looking to sell offshore assets, not just onshore assets. So geography would be key. The second key area would be a segment area because if you look at how dominant we are in certain segments, biopharma lab to be one, obviously, with the ALT acquisition. There are other sectors that are growing sectors now that we think we can get equivalent dominance in, which really leaps us forward. So geography and expanding our sector presence would be the 2 main goals. And that would be both, obviously, we're still looking organically at the de novo ability to go green and hire people. But simultaneous, we see that there are real opportunities right now, heightened opportunities to acquire entire entities, Michael. So we have the cash now. We've grown to the ability where we can really execute on that front. And there are a lot more firms ready to make a move to join larger firms now than there were in the past. So we think now is the time.
Operator: Our next question comes from Chad Stauffer, Private Investor.
Chad Stauffer: I guess, I have the assumption that having that level of concentration with 1 large lender was, I guess, a mistake or a process failure in some sense. And is that the case? And if so, have changes been made to the process in order to make sure risk levels like that are not taken again? And can you kind of walk through what happened and how that's being addressed?
Ross Dove: It's a very reputable company that we had known on the brokerage side for decades. So it wasn't that we were underwriting someone that we didn't have prior knowledge of, that didn't have a long history of success without a default. But if you want to ask me in retrospect, how do I feel now about the concentration? I would say that you're right that we had too much concentration in any 1 client, no matter what we thought about the client. And if you're asking, have we learned our lesson? I guess, the answer would be, yes, we've learned our lesson. Going forward, we intend for that to be a significant criteria as we lend more judiciously and more cautiously to really broad-based the client level, so we're not dependent upon any specific entity. So I would applaud you for being correct.
Operator: Our next question comes from Sam Namiri of Ridgewood Investments.
Sam Namiri: I just was a little surprised after the election, there wasn't more positive movement in the stock. And one of the reasons I was thinking -- I just wanted to get your thoughts on was the Financial Assets division, just on the lending side, the CFPB, I assume, under Republican administration would not be as aggressive in taking stance towards those borrowers. Do you have any thoughts or any color maybe you could provide on that?
Ross Dove: Well, I mean, if you look back in history, I don't know that you can actually pick by the President what consumers -- I don't know if the presidential election is going to change it or not. So, I guess, that would be a wait and see rather than people reacting over the first 2 days. So it's too clever a question for me to come up with an answer today. I think we'll find out over time, Sam.
Operator: There are no further questions at this time. This concludes our Q&A session. I'd like to turn the conference over to management. Please go ahead.
Ross Dove: This is Ross. I wanted to thank you all for joining. I wanted to thank all of the shareholders that have stuck with us and joined. And I'd like to encourage people to really take a hard look at where we are today and where we think we're going because I can tell you that internally, management is very bullish on our future. We're excited on the opportunities as we see. There'll be a growth, we think, in financial asset nonperforming loan sales. We think we're positioned well there with an incredible team that for a quarter century has been a leader. We think we can even grow the products on that side. On the industrial side, we think the industry is going to basically consolidate to some extent and that our leadership role is really going to come into fruition. So we see ourselves as a great entry point right now for people who want to come on board, and we're excited about the next decade of where we think we can get to. So we'd welcome anybody, and we thank you all for paying attention.
Operator: Thank you so much. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation.